Itumeleng Lepere: Good morning, all, and welcome to AECI's Results Presentation for the Year Ended 31 December 2025. My name is Itumeleng Lepere, and I'm your host. With me today to present the results to you is our Interim Group Chief Executive Officer, Mr. Dean Murray; our Group Chief Financial Officer, Mr. Ian Kramer; and our Executive Vice President of AECI Mining, Mr. Stuart Miller. I would also like to welcome our Board members who are present with us in the room today. And just getting on to the matters of the day, Dean will take you through the results highlights with Ian taking you through the financial results and both Stuart and Dean will take you through the business review with Dean wrapping up with the looking ahead. And just for those that are on the webcast, please remember to type in your questions on the text box provided and we will address all questions at the end of the presentation. So without any further delay, Dean, please come on.
Dean Murray: Thank you very much, Itu. Good morning to everybody, and welcome to our results presentation for 2025. As the interim CEO, it's a privilege for me to go through the results with you. I'd also like to take the time to just acknowledge the great support we've had from the Board as well as from my colleagues in the ExCo and in the businesses as well. I think everybody has put a huge amount of effort into the back end of last year to deliver the results that we have. So let's start. We've had a very good performance, outstanding, if I think of the challenges we've had in 2025. And that was really driven on the back of good operational discipline that we put in the businesses as well as the continuation of our strategy, the strategic process. So from a business point of view, the mining business had a record EBITDA. So well done to Stuart and the team. Secondly, if we look at our Chemicals business, an excellent free cash flow generation, which I'll unpack later in the presentation as well. And really, the quality of earnings in the business has really been driven on a focus on the product mix as well as our pricing and margin management, which has really delivered the EBITDA result that we see. And then lastly, of course, from a business point of view, we've completed most of the disposals that we set out to do at the beginning of the strategy. From a financial point of view, as part of the portfolio optimization, as I said previously, we've completed the sale of most of the managed businesses, generating ZAR 2.2 billion in cash for the organization. And of course, that has really strengthened our balance sheet for us going forward, gearing down from 31% to 4%. And of course, the other highlight for the year was the improved quality of earnings, the EBITDA margin, up 2% from 9% to 11%. From a sustainability point of view, I'm very happy to say that we had no fatalities in AECI last year. Our people are key to this organization, and we do operate in some very dangerous conditions. Secondly, the TRIR also improved from 0.31 to 0.2. So well done to the safety teams. We also launched our new broad-based scheme supporting our communities in the areas that we operate in. And lastly, we also launched the employee share scheme as well that we've been working on for quite a number of years. All right, so following all the work that was done last year, I think we really positioned the business and put in a strong position for growth going forward. Really, the fundamentals that we focused on, and I think this was also communicated in past presentations as well, is our people and our culture. So we had a big drive in really focusing our people working on the culture. Secondly, the portfolio optimization. So we've created a very focused organization now as well. So just for everybody's -- just for the detail, we've really focused now on the 2 businesses, which is our mining, chemical/mining business, which is explosives and mining chemicals and then our actual chemicals business, which is a combination of our Plant Health business as well as our industrial specialty and water businesses. Those businesses remain in AECI. And even the Public Water business, we have decided to withdraw from the sale process, and it will be incorporated and run within our Chemicals business going forward. And last -- sorry, then moving on to our TMO operational and functional excellence. We have now worked quite hard on the TMO projects, really a disciplined process to look at our various work streams, delivering better commercial procurement initiatives. And now we've actually taken that TMO project, and we've embedded into the business where it will then continue to make sure that we have a close alignment with business, and we've given the business the ownership of all those projects that we've been working on. And then lastly, on the internationalization front, it is key, specifically at our mining business, but it's a focused approach when it comes to internationalization as well as a very disciplined approach when it comes to allocating capital for growth. And Stuart will talk about some of those areas that we're focused on going forward. But needless to say, SADC, Africa and the Asia Pacific region still remain key for us for our growth in mining. Okay. So what we believe we've -- in terms of our long-term value creation, as I said before, we've created a good, strong foundation for sustainable growth. We have the focused portfolio, as I mentioned. And you'll see the impact of both as we go through the individual businesses and show you the numbers. We've got this big focus on the improved quality of earnings in AECI. What's important is that we found it in the past. We've looked at some of the poorer contracts that we've had. We've had a look at some of the product lines that haven't been giving us the margins, and we've addressed that. The balance sheet, which everybody will talk about, we're sitting in a very strong position. And this puts us in a good -- this puts us in a good position for looking at investment and growth going forward. And then very important to our organization is the solid cash generation so that we can reward our stakeholders accordingly. All right. So with further ado, I'll call Ian and give us a rundown on the financials.
Ian Kramer: Thank you, Dean. Good morning, everybody. I think I'd also want to start with an acknowledgment to the finance team and all the effort they've put in for us to get these results over the line. We are not able to stand here this morning and present these results if it wasn't for all of the efforts of all of them. So thank you very much to all of them. Turning to the group performance. Our performance was underpinned by disciplined pricing and structural margin management that drove our strong performance in combination with excellent free cash flow generation across both the Mining and Chemicals segments. This result was achieved notwithstanding a decrease we saw in revenue or the Modderfontein operational challenges that we reported on at half year. Our revenue was 4% lower at ZAR 32.2 billion compared to the ZAR 33.6 billion in the prior year, mainly driven by lower revenues from our Mining segment. Stuart will provide you with a little bit more color with regards to that. In terms of input cost pressures in the Mining segment, it was quite muted with the ammonia price remaining relatively stable year-on-year. The average price of ammonia only decreased by 3.4% to ZAR 9,591 per tonne in the current year compared to ZAR 9,727 per tonne in the prior year. This resulted in a revenue impact of only ZAR 42 million. If I go to EBITDA, EBITDA grew sizably by 12% on the back of improved operational performance in the Mining segment and partially offset by a slightly softer operational performance in the Chemicals segment and higher losses in the Property Services and Corporate segment. This combination of reduced revenue and growth in the EBITDA resulted in the group's EBITDA margin increasing by 2 percentage points to 11% compared to the 9% of the prior year. Depreciation and amortization, excluding our impairments was slightly lower from the prior year at just over ZAR 1 billion compared to just under ZAR 1.1 billion in the prior year. Included in the number you see on the screen is impairment charges of ZAR 821 million for the year from continuing operations, and it were mainly recognized in terms of the disposals in our managed businesses segment. That is the Schirm U.S.A., the Baar-Ebenhausen and the Food & Beverage business disposals as well as from the annual impairment assessment at Schirm Germany. The remaining goodwill that sits in our books at the end of the year at Schirm Germany has decreased to EUR 6 million at year end. In the prior year, in contrast, impairment charges from our continuing operations was ZAR 377 million and a further ZAR 732 million was recognized for the Much Asphalt disposal in the prior year, which was disclosed as part of discontinued operations. Our profit from continued operations effectively remained flat at the level that we have disclosed on the screen there. Pleasingly for us, our net financing cost has decreased by 33% from ZAR 521 million to ZAR 347 million due to the reduced debt levels and a lower effective interest rate. The taxation expense for the year ended at ZAR 853 million, and it reflects in an effective tax rate of 70% compared to 71% in the prior year from continued operations or 148% if we take continued and discontinued operations together. The ETR remains elevated due to the impairments that we've booked, unutilized assessed losses at our Schirm Germany complex, non-deductible expenses and foreign withholding taxes that we pay on dividends that gets declared from the regional entities up to the parent. If we normalize for recurring tax impacts on the ETR, that drops our ETR to 38.6%, which is in line with the guidance we gave to the market throughout the year. The group headline earnings increased by 53% from ZAR 7.16 per share in the prior year to ZAR 10.98 per share. It reflects the higher underlying profitability, and it excludes the impact of the impairments that was recognized in determining our earnings per share number. Working capital lockups for the group decreased from ZAR 5.5 billion in the prior year to ZAR 4.7 billion at the end of this year. This ZAR 800 million reduction in working capital relates to a couple of things. The disposal of our Food & Beverage business contributed to a working capital release of ZAR 350 million. Furthermore, the Schirm businesses that got disposed this year added a further working capital release of ZAR 150 million, with the final piece of working capital release coming from our Chemicals segment, approximately ZAR 360 million. That was the result of a combination of accounts receivables decreasing and an uplift in accounts payables. This reduction in working capital for the group improved the working capital ratio from 16% in 2024 to 15% in 2025. Our net debt levels has decreased substantially from a position of ZAR 3.7 billion at the prior year to ZAR 465 million at the end of 2025. This net debt reduction substantially supported the group's earnings ratio -- sorry, gearing ratio to decreasing to 4%, well below our market guidance range of 20% to 40%. If you look at it from a net debt-to-EBITDA covenant ratio perspective, the decrease gets us to 0.1x, which is substantially below our covenant threshold levels of 2.5x. Capital expenditure for the year amounted to ZAR 835 million. That was mainly made up of replacement or sustenance CapEx amounting to ZAR 688 million and expansion or growth capital amounting to ZAR 147 million. Management's focus during the year was to incur capital expenditure where most needed within the group, specifically focusing on asset integrity. After a slow start to the year in terms of capital expenditure, we did see an increase in the second half of the year, especially in the last quarter, resulting in the replacement growth capital expenditure reaching spend levels of approximately 0.7x our depreciation and amortization charge for the year. Our focus in 2026 will remain to further increase these spend levels. On the expansion and growth capital side, new growth capital spend was muted throughout the year. However, again, this is anticipated to increase in 2026 as growth capital projects in the DRC, Indonesia and Australia get into full swing. The Modderfontein optimization initiatives are expected to further contribute to increased capital expenditure over the next 3 years. The year saw outstanding free cash flow generation from both the mining and the Chemicals segments. Notably, the free cash flow conversion achieved of 133% in our Chemicals segment reinforced the importance of that segment consistently supporting the group's performance through high levels of cash generation. And then finally, our return on investment capital or ROIC reflected a satisfactory increase compared to the prior year with the Mining segment, the main contributor to this uplift. If I turn to our core business financial performance, it is clear that our robust operational performance in the core businesses drove the stronger group results. Just a reminder for everybody, our core businesses consist of our AECI Mining segment, our AECI Chemicals segment and our AECI Property Services and Corporate segment. Profit from operations at our core businesses at ZAR 2.3 billion is 125% up from the prior year and substantially higher than the group profit from operations of ZAR 1.5 billion mainly as a result of the majority of the impairment charges of ZAR 821 million recognized in the managed business segment, which falls outside core business segment. The core businesses contributed 95% to the group's EBITDA and more than 80% to the group's free cash flow. With the majority of the divestment program completed, the Managed business segment will fall away in 2026 as this segment will be reallocated to the core business segments. As a result, we will discontinue to report our core businesses as it will be the same as the group performance. This slide, the net debt, you can see here the cash generation resulted in a substantial reduction in our overall debt levels, as I've previously already indicated, reducing our debt levels from ZAR 3.7 billion to ZAR 465 million. As a result of that, our undrawn facilities has increased to be in excess of ZAR 5 billion. The balance sheet strength that we now have has set us up as a group to continue to execute on our strategic focus throughout 2026. And I will ask Dean to explain and elaborate on that later in the presentation. As has become customary, this slide provides you a waterfall of the cash in and outflows affecting our net debt levels. I think it's important to note that cash generation for 2025 came from both the operational performance of the 2 major segments as well as the proceeds from our divestment program that was successfully completed. What is really satisfying to us is that our operational cash flows at ZAR 3.55 billion has been more than adequate to cover our normal net financing costs, our taxes, our working capital lockups, our capital expenditure and our dividends. With regards to our disposals, we made announcements in July 2025 with regards to Schirm U.S.A. disposal, Baar-Ebenhausen and Food & Beverage businesses. And I can confirm that all of those transactions has been concluded and all the cash proceeds has already been received. Lastly, our strong balance sheet position of the group warrants a discussion regarding our capital allocation and dividend declaration. Maintaining our balance sheet strength and continuing to apply prudent capital management will remain a priority for us. The group will continue to reinvest within our portfolio, notably our Modderfontein optimization initiatives. The Board took the decision to declare a final dividend of ZAR 1.28 for the year, resulting in a -- sorry, a final dividend of ZAR 1.28 for the year, resulting in a total dividend of ZAR 2.28 per share for the year. The total dividends for 2025, therefore, reflects an increase of 4% compared to 2024. During the year, we converted our dividend policy from a dividend yield to a dividend cover payout. This dividend payout is in line with that new policy, and it's underpinned by our capital allocation framework, which we've highlighted for you on the slide again. This level of dividend payout continues to signal our intention that we intend to continue to declare dividends that are sustainable and affordable. At the current levels of our net debt and cash available, I think it will be remiss for me not to address an issue with regards to share buybacks as a way to return value to shareholders. In thinking about this, we have taken the following into consideration. Balance sheet optimization remains a priority for us. As a result, our disciplined approach to capital allocation remains intact. This includes that we ensure that we have sufficient growth investment cash available to secure our long-term future. Our dividend payouts occur from available free cash flow before growth capital spend. Returns to our shareholders remains a priority in the form of these sustainable dividends as well as being potentially supplemented with share buybacks. Share buybacks will be considered carefully to balance providing enhanced shareholder returns and ensuring market liquidity of our shares is not compromised. Seeing that our retail shareholding is limited since 20% -- sorry, since 20 shareholders holds approximately 80% of our shares, this is a very important consideration for us in considering share buybacks. Any future share buybacks will be in line with shareholder approvals received and disclosed together with financial results as required. With that, I'm going to hand over to Stuart. Thank you.
Stuart Miller: Thanks, Ian. Good morning, everybody. I'll firstly, just like to start off by also reiterating that it was an exciting year, and all our people around the world put in a huge effort to get us to where we were today. So a big thank you from me. If we start off with the headline, the headline is AECI Mining delivered a record EBITDA of ZAR 2.7 billion in 2025. That's 19% up year-on-year despite revenue declining 18%. And that contrast matters, it signals that this was not a volume-driven year. This was a structural margin reset. Revenue was impacted by a few temporary factors, adverse weather early in the year across Southern Africa and Asia Pacific and some operational constraints at Modderfontein communicated at the half. The important point is these were temporary, and stability improved materially in the second half. Despite those challenges, profitability strengthened. Profits from operation increased 35%, free cash flow increased 34% and our ROIC increased to 24% above group guidance. This tells a clear story of where mining is heading, and it's not just higher earnings, it's better-quality earnings. Three structural shifts underpinned this performance. The first one being price and product mix. We exited underperforming contracts and increased exposure to higher-margin products, particularly electronic detonators, which increased 12% year-on-year and specialty collectors. The second was cost and operating discipline. Productivity improved, contract governance tightened, and operating costs reduced in excess of 10% year-on-year. Third was our portfolio balance. Mining chemicals maintained robust margin performance, providing the stable earnings base alongside our improving explosives business. Working capital remained well contained and controlled at 14%, supporting strong cash generation and free cash flow of ZAR 1.5 billion. On Modderfontein specifically, the disruptions experienced in the first half were largely stabilized in H2. Power resilience improved and feedstock mitigation plans were put in place. The key takeaway is, we exit 2025 with a structurally stronger and more disciplined earnings base. Looking to '26 and beyond, our strategic focus areas are centralized around our world-class leading products and technologies. And this is the lens through which we're shaping this business, how we will compete, how we will invest and how we will grow. Our first priority is the Modderfontein optimization. We are moving from a phase of stabilization to optimization. And it's important to reinforce that this is not a turnaround, and it is not a step change in capital intensity. The focus is on reliability, utilization and capital discipline, but critically, optimization is also about technology leadership. We are investing in long-term competitiveness by phasing out underperforming low-margin legacy products and reallocating capital towards higher-margin growth-orientated technologies. These technologies will strengthen our product offering, deepen our customer relationships and support structurally higher returns. Modderfontein remains a strategic anchor asset for AECI, enabling leading products and technologies to be deployed to the African continent. Second, we are embedding operational excellence enabled by technology. Digital tools, process automation and improved technical standards are enhancing supply reliability, quality, safety and cost discipline. Through better maintenance planning, stronger capital governance and tighter contract discipline, we will deliver more predictable performance, protect margins and improve cash generation. Third, we will grow in key markets through product and technology leadership. A key proof point here is Asia Pacific, where despite lower volumes year-on-year, performance strengthened materially, driven by electronic detonators, improved mix and disciplined execution. Growth will be selective and return driven, not volume for volume sake. We will deploy growth capital into markets where we see the strongest returns and technology pull-through. Those include the DRC, Australia and Indonesia, as Ian has already identified. These are markets where our leading products and technologies create clear competitive advantage and support our margin-led growth. Finally, we will continue to leverage our strong, long-standing strategic customer relationships, underpinned by technology, innovation and services. Our customers value reliability. They value predictability and performance. By partnering with them with advanced products and technologies, we will continue to deploy solutions that can be implemented day-to-day that create real value. We will continue to evaluate new jurisdictions with our partners where appropriate, expanding our share of wallet without materially increasing risk. In summary, before handing back to Dean, AECI Mining enters 2026 with a record EBITDA, stronger cash flow, higher ROIC and a portfolio increasingly anchored in leading products and technologies. Our priority is now to embed that advantage and translate it into sustainable, margin-led growth that delivers sustainable and predictable earnings. Thank you. Dean?
Dean Murray: Thank you, Stuart. All right. Before I continue, again, congratulations to the mining team, fantastic year, and I look forward to this year as it sees itself out. All right. So let me talk to you about chemicals. So our Chemicals business this year had an excellent cash flow generation, conversion of 133%, ZAR 1.2 billion. And really, if you look at, we're operating in quite a flat market in South Africa because the bulk of this business is South African based. We were still able to grow the revenue by 5%, but this growth in cash generation was underpinned by a record performance in our Plant Health business. More importantly is that our Plant Health business in Malawi had a record year, delivering ZAR 100 million EBITDA, which is fantastic, well done to the teams. Then our Water business, as you'll recall, we have an industrial, mining and a public water business. We had a very strong performance in water again. But specifically, our public water business had an excellent year. And we were able to clean out a lot of the bad debt and really provide a strong service in the public water space, which our country desperately needs at the moment. Then working capital, my favorite topic. Working capital improved from 18% to 14%, and that was good vigilant working capital management by the team, which also made that contribution to our free cash flow in the business. Just the one challenge we had in the chemical business was the -- one of our biggest customers in the industrial space went into business rescue. It's still an ongoing process at the moment. I did talk about this a while ago. So we've got a provision in our numbers and expected credit loss of ZAR 64 million. So as far as the business is concerned, as we've gone into this year, I think ForEx does play a big impact in our business, but I think our teams are well equipped at managing that as well. So the strategic focus for chemicals, as we mentioned before, it remains a core part of AECI's business. We really grow this business through growing our market share, increasing our product offering to the market, new principles, new products and, of course, leveraging our customer relationships. As a chemical supplier to South Africa, we are still a leading supplier in the chemical space. And again, focusing on making sure that we sweat our assets and we actually grow our market share with our customers' baskets that we offer to them. Secondly, disciplined cost and margin management is key in this business. And I think the teams have been able to demonstrate that they have this well in control over the past couple of years. In our Water and Specialty Chemicals business, we focus a lot on innovation and technology. In the water space, there's a lot of work that's taking place on mining water treatment together with our mining business, all right? And that's not just in South Africa, that's outside of the country as well. And then our specialty chemicals product range, we have a wonderful range of products, which are green products based really on supplying also reagents in the mining flotation space as well. And then lastly, the focus, we never forget it, cash is king, and we continue to deliver the excellent cash flows in the chemical business. So looking ahead, what we have done is we updated our guidance, as you will see on the slide, really the focus around EBITDA growth, and you can see the numbers in there. Also our EBITDA margins, quality of earnings that you've heard both Ian and Stuart talk about. And then again, the importance of the free cash flow generation so that we can fund the growth for the business going forward. I think very importantly, you will see and Ian has alluded to that as well, a strong balance sheet. So really, the focus now on is where we're going to invest going forward and what are the target areas that we will focus on. So in closing from my side, the foundation was established last year. We put a strategy in place. It's an ongoing piece of work, the strategy. And really, the focus will continue to leveraging our strengths. I think what's very important is we provide integrated solutions to our customers. So they're not just buying a product, they're buying a service and know-how. Secondly, innovation is a key advantage for us, particularly in our mining business. And Stuart and the team have got a lot of new products that they've been working on, and I'm sure that we'll start seeing them over time. From prioritizing the business to make sure it's resilient, we've alluded to the fact that we will invest in the asset reliability, particularly at the Modderfontein facility. It is key for our SADC mining business. There's also some work we need to be doing in our mining chemicals business because, again, a very important part of our value creation for the customers. It's very important how we focus on increasing efficiencies on the mines in terms of the extraction chemistries that we apply. And of course, our technical expertise as well, we have been investing in. What Stuart also alluded to in terms of our growth areas, it's a focused growth approach, not a shotgun approach. We are very specific in the regions that we are active in, not just the countries, but the applications of our products, the minerals that we are targeting and very importantly, the pull that we take from our big global customers as well. So in closing, our enhancing quality of earnings I love that word. It's about the quality of the earnings that we generate for our shareholders. Disciplined capital allocation, and we have a tough vigorous process, I can tell you. We cannot waste money. When we put the money into something, it's going to give us the returns that we're looking for. Value-accretive volume growth as well. Margin, product mix and cost management, which we have done quite well over the past year. And again, the key focus on cash generation. So that is my story. Thank you very much for attending. I'll hand back to Itu, and I'm sure we'll have some questions and answers. Thank you very much.
Itumeleng Lepere: Thank you very much, Dean. Okay. Thank you very much all. We'll open the floor up for question and answers. If you could kindly just mention your name and the company that you're representing before stating your question. There are roaming mics. And Rowan, I'll just get a mic over to you.
Rowan Goeller: It's Rowan Goeller from Chronux Research. Just a question on market share changes, please, in the Mining division, in particular, in your different parts of the world that you operate in. Could you give a sense of how you're doing in those various regions, please?
Dean Murray: Stuart?
Stuart Miller: Yes, sure. We saw challenged volumes throughout the world due to the wet weather in the first quarter in particular. Full year, we did see volumes grow in Southern Africa, which was positive. But overall, we saw EBITDA and margins expand in all of our regions, those being Southern Africa, Rest of Africa, LatAm and Asia Pacific.
Rowan Goeller: And market share?
Stuart Miller: Market share. We won in the order of ZAR 6 billion worth of contracts through the course of the year and retained another ZAR 7 billion worth of contracts. So our market share is growing.
Unknown Analyst: Yes. For me, I think it's one, congratulations on the structural margin improvement despite the lower revenue, which is particularly encouraging and suggest operational discipline, which are not just the volumes. But then the question around that will be -- with the balance sheet now significantly strengthened at the net debt-to-EBITDA is looking at 0.1x. How is AECI thinking about prioritizing capital allocation between further portfolio optimizations and also around the organic growth? And also, I mean, to what Stuart you spoke about in terms of the technology and the digital, how are you looking at that, especially achieving the 2030 integrated enterprise ambition? And then the second one is also around that ambition because there, we're looking at ambition of EBITDA at between ZAR 5.6 billion and ZAR 6.3 billion. Yet the current EBITDA is looking at about ZAR 2.4 billion. And one then would look at the structural enablers that can then be brought in, in that regard. I mean Modderfontein is one of them, the optimization there. But then one would check if what are other structural enablers that AECI is looking at as most critical to achieving that step change.
Dean Murray: Okay. Maybe I can start off and then I'll hand over to my 2 colleagues. So I think if you look at the work that was done by our M&A team over the past 2 years, we've done a lot of investigative work in terms of inorganic acquisitions. We've also spent a lot of time looking at the growth that we anticipate in our mining business in the various regions because there's a capital that has to be allocated in those particular areas, together with the capital allocation at Modderfontein. We're at the process where we are doing a proper disciplined approach in terms of looking how we allocate that capital that will give us the right returns. There's work that we've been doing on the continent in Australia as well as in Papua New Guinea and in LatAm. But before we do any allocation of that capital, there's a thorough process that we take through the investment committee to make sure that we're going to get those right returns. So I think over the course of the next year, I'm sure we will give some updates in terms of where we intend to put some of that investment capital there.
Ian Kramer: I think I can add to it in analyzing your question, we go to our disciplined capital allocation framework. The first thing that we have signaled is the reinvestment in our existing portfolio, our organic growth, making sure that our plants are optimized as best possible, and that includes the significant exercise we're doing in terms of Modderfontein. Subsequent to that, sufficient cash flows remaining the dividend payouts and then growth capital investments. Growth capital investments happens in the markets where we are strongest, that being Southern Africa, the Africa continent, specifically the DRC and Australia and hence, the commitment that the growth capital spend that has started in those regions will continue to go through. Once that has all been concluded, that drives and feeds into over the longer period, the uplift in EBITDA performance. And that is still -- obviously, that growth capital is one of the legs to get that uplift that is still coming through then.
Stuart Miller: Yes. And just adding on that, I think as we exited 2025, we did see volume improvements in Southern Africa year-on-year. And we benefited from that operating leverage. There's still more leverage there available, and that will be a key focus and priority for us, particularly in the Southern Africa region where we do have quite a heavy asset base. Outside of Southern Africa, we are continuing to deploy a capital-light model where we're putting manufacturing assets closer to customers. We see that as a strategic advantage, particularly in countries like Australia, and we'll continue to leverage that. On the question around digital, in '25, our focus was more on the cradle to the grave of our products. So looking at how we trace our products from manufacture to destruction. And 2026 is going to be more front-end facing on the business where we will start redesigning our digital platform that our customers can interface with. We do have a strong strategy around data ownership but being quite agnostic when it comes to how we collect that data. We strongly believe that our expertise lies in how we interpret that data and how we drive the continuous improvement loop with our customers as opposed to owning and developing hardware for collection. It's a very asset-intensive process, which we think there's a lot of innovation happening around the world that we can plug into with partnerships.
Itumeleng Lepere: Thank you very much. Do we have any other questions in the room? Okay. I will take a few questions from the webcast. First up is Adam Esat from MIRF. I think, Ian, this one is for you. Can we get a firm commitment from Asia as to when we can look forward to a clean results with no further write-offs and minimal difference between HEPS and EPS? Yes. Maybe let's just address that one first.
Ian Kramer: So the bulk of the divestitures has now been completed. There's a couple of small entities that still remains. We will only dispose of those for value where we can find value. Otherwise, it will be reintegrated into the business. The Schirm Germany restructure has been successfully pulled through the year. So we believe we have turned that corner. The only reason why I flagged the EUR 6 million goodwill is that is potentially the only further impairments we could see come through if the Schirm turnaround doesn't create this value, which we firmly believe will happen. So I think you're going to see us getting our EPS, HEPS numbers much closer to each other going forward.
Itumeleng Lepere: Thank you, Ian. And just a follow-up question from Adam and a few more people asked about it. We've spoken a lot about consulting costs to transform AECI. Was the money spent on consultants well spent? And was any of the costs capitalized? And I think just to link that up with Warren Riley's question, he is asking, can you provide guidance on what that cost is going to look like going forward?
Dean Murray: Maybe let me start off talking about the -- I mean, the large part of the consulting work was done with the TMO project that we put in place. The TMO project is a project that's a long-term project. I mean we saw a lot of the benefits from the TMO project in year 1, particularly out of the procurement aspect, the procurement work stream. I think more importantly, though, is that the TMO business -- the TMO process doesn't operate independently of the business. So what we have done now is that we put the TMO process back into the business with making sure that we don't lose sight of all the good work that was done. So we do still track it from the head office, but the business ownership will drive the TMO projects going forward. And look, I think the other thing with the TMO project, part of TMO was also growth projects, which required capital investment. And we haven't seen all of that return at the moment because, again, we've got a very disciplined approach in terms of how we allocate the capital. But as we go further down the line, some of those projects will start to materialize over the next year or 2.
Ian Kramer: Just in terms of capitalization of those costs, obviously, we're following the accounting standards and rules around that. The bulk of that consulting fees, if not all, has been expensed and that's gone through the P&L.
Itumeleng Lepere: Yes. And then Warren just asked with regards to guidance and reducing the SG&A cost looking forward.
Ian Kramer: So that is certainly going to be a continued focus for us this year that we still further drive optimization as we continue our journey on enhancing the new operating model that we are rolling out on the back of that consultancy advice.
Itumeleng Lepere: Thank you, Dean and Ian. And just to move on to the next question, Paul Whitburn from Rozendal Partners. How sustainable is the net working capital as a percentage of revenue? Can you hold on to these cash flow generation gains? So that's the first question. So there are a few questions here. Could you provide some granularity on the growth in volumes of explosives across the regions? I think Stuart, you can take that one. Would growth initiatives into new regions for mining result in ROIC ahead of the strong 27% ROIC generated by the business in 2025 or dilutionary to these returns? So I think maybe Ian, you can start with the net working capital.
Ian Kramer: On the net working capital, obviously, there was a significant release because of the disposed businesses. Food & Beverage always had a sizable working capital element that we've now released. In terms of the rest of the business, we have put in a lot of effort to ensure that we get to the appropriate levels of working capital. I believe we have been quite successful this year and that we are comfortable that we can maintain the current levels that we've achieved at the end of the year.
Itumeleng Lepere: Volumes?
Stuart Miller: Volumes, yes. So across the year, we were impacted by the weather in Q1. And as I highlighted during the presentation, we see this as temporary. Last year was quite an extreme set of weather circumstances. We saw flooding in the Amandelbult region. I get told I pronounced that incorrectly, so apologies. And also a lot around Asia Pacific and in Australia, particularly, there was a 1 in 100 year weather event that went through there. That did impact our underlying volumes. So we look at ammonium nitrate equivalents generally as an aggregate. But inside that, we do have a traded portion. I always sweep that out. Traded AN is an opportunity and it's low margin. The core, which is bulk explosives delivered to customers, that dropped by about 8% as a result of that Q1 impact and recovered strongly in H2. So I don't have any major concerns with respect to volumes, and we are winning more contracts than we are losing, as I mentioned before.
Itumeleng Lepere: And Dean, I think you've got the guidance sheet there on the ROIC on whether the growth projects will deliver.
Dean Murray: Exactly, Itu. And if you look at the guidance that we've given in the sheet, I mean, the ROIC improvement in mining has been very good, Stuart, which we are very happy with. And we believe we will maintain that. I mean the capital projects that we -- well, let's say, the capital projects that we're looking at, at the moment, all meet our hurdle rates. Otherwise, we will not approve those projects going forward. So if I look at the work or the capital we want to put down into the DRC, Stuart, in Australia as well...
Stuart Miller: If I jump in there, Dean, I think it's important just to try and articulate that a lot of this capital that's being deployed is being deployed into modular manufacturing facilities, which lean towards higher-margin more technology-enabled products. And that's the strategy, and that's going to continue to drive our ROIC. So I feel quite comfortable that mining is setting ourselves up for success when we look at the ROIC over the next 3 to 5 years.
Itumeleng Lepere: Okay. Thanks, Dean and Stuart. Maybe just defect to the room if you've got any other questions in the room. Okay. In the absence of any, I will continue -- there's quite a few on the webcast. So I'll continue on the webcast. Warren Riley from Bateleur Capital. You have previously guided to a reduction in group tax rate, Ian. What is your expectation for FY '26? And interesting one. Note 8, contingent liabilities states that the group could face substantial claim in AECI Mining as well as SENS related to the U.S. PPP program. Can you please quantify the expected claims from both these proceedings? So first is on the ETR guidance.
Ian Kramer: So continue to guide that recurring ETI will be between levels of 35% to 40%. I'm quite comfortable there. We are continuing our work to deal with the more complex structural matters that could reduce that to levels between 30% and 35%. And that message remains consistent to what I've previously guided. With regards to the 2 contingencies in the financial statements, the Ultra Galaxy vessel matter, there was no further developments in that case. We actually have not received a formal claim with a value. So it remains just a possible obligation, hence being disclosed as such in the financial statements. And then the Paycheck Protection Program in the U.S. The comment I want to make there is that, that is an investigation by the DOJ, not only with regards to SANS Fibers, but across the whole of the U.S. SMEs in terms of that program. We are quite confident that we have submitted our paperwork appropriately and correctly, and we're entitled to those. So we do view it as a remote obligation.
Itumeleng Lepere: Thank you very much for that, Ian. The next question is from Paul Carter from Lucas Gray. It's not a long time back when you mentioned a run rate of ZAR 6 billion on EBITDA. Dean, I think this one is for you. Was the plan for 2026, has this now been lost?
Dean Murray: I think, firstly, if we have a look at the, let's say, the growth plan that we have put in place, we've had a review, obviously, of our growth projections in AECI. The strategy still remains intact. We had some delays with regards to some of our capital allocation for growth. And that was really on the back of our focus being on Modderfontein, making sure that we got that plant up -- got it up and making sure it's reliable. So the growth aspirations have not disappeared. But what we have done is that we will focus on -- I'd say that the time frame is going to be out a little bit, but the projects are still there. It's a matter of how we deliver on time, particularly with our focus on the investments outside of South Africa as well.
Itumeleng Lepere: Thank you very much for that, Dean. Next question was from AJ Snyman from Peregrine Capital. AJ, I think we've addressed your question on the contingent liabilities. And Marang Morudu has asked about the corporate cost, which we've addressed. That's fine. Then Tumisho Motlanthe from Coronation Fund Managers was asking about the ETR. So we addressed that. EBITDA margins of 12% in mining and 7% in Chemicals, where to -- over the medium-term? So that's his question. So EBITDA margins of 12% in mining and 7% in Chemicals, a bit of guidance on the mid-term and mid-term view. And his next question is around the dividend cover range is wide at 1.5 to 3x. What is the FY '26 thinking? And on the free cash flow and EBITDA of conversion of 57%, very complementary saying it's good, but where to next. Quite a few questions. So Ian, let's start with the first, I guess, Stuart and Dean, EBITDA margins.
Dean Murray: So maybe let's start with Mining, Stuart, and then I'll cover chemicals.
Stuart Miller: Sure. So I think the most comforting thing for me over 2025 was, and I've touched on it a couple of times, is we did see our volumes expand in Southern Africa. And as a result of that, we did see our profitability and margins expand, particularly in South Africa. And that was on the back of operating leverage through Modderfontein primarily. There's more embedded opportunity there for us as there is at Sasolburg, and we plan to exploit that. We will continue to drive operational excellence and reliability across those operations and continue to drive our OEE up to push more products into the market. So that's a key priority, and that's something that's going to give meaningful support to margins over the medium-term. Outside of that and talking internationally, we are -- we have sanctioned, and we are deploying, as I previously indicated, more manufacturing capital into our strategic international markets. And these are all leaning into higher-margin products such as PowerBoost and electronic detonators. So I think the margin mix for us is a favorable outlook. So I feel quite comfortable that we'll retain that over the medium-term. Dean?
Dean Murray: Yes. As far as the chemical business is concerned, we've always targeted an EBITDA percentage of around 10%. We were a little bit down in 2025, and that was largely due to the expected credit loss that we had through in the numbers. But really, when you look at this business, the parts of the Specialty Chemicals business and particularly the water business, these are generally higher-value products, value accretive, good margins on those businesses. So that's where the focus is and where the growth focus is. What we did see last year in our Specialty Chemicals business is one of our biggest customers, they were down for quite some time. They had a fatality on the plant. So for 2 or 3 months, we lost in terms of supply, but that's picked up again this year. So the target for the chemicals business is always to try and beat the 10% mark. In the Plant Health business, of course, we do operate at slightly lower margins, but what's important there is obviously the payment terms that we are able to get from our suppliers. But again, we really focus on the ROIC in our Plant Health business, but we aim for 10% and above.
Itumeleng Lepere: Okay. And Ian, just on the -- question is the dividend cover range of 1.5x to 3x is...
Ian Kramer: So the thinking at this stage because of the level of cash we have, and the low level of net debt is that it would always be at the lower end payout of that dividend cover, so the maximum payout in terms of that policy. That is certainly how we're thinking of it, and that's what we've done for year-end. And your last question was...
Itumeleng Lepere: On the free cash flow, I think...
Ian Kramer: The free cash flow, we were very happy with that free cash flow conversion. It was an exceptional year. There's a couple of underlying factors that you need to consider that drives that free cash flow conversion. That is the working capital unlock. We are now at levels where that will become more muted. And then also, it is also a function of capital spend. And as we pick up on capital spend, we will see some pressure on that level of free cash flow conversion margin. But we're still very confident that we can get within that guided ranges that we've put on the slide.
Itumeleng Lepere: Okay. Thank you very much, Ian. Just going to check again. We're almost out of time, but we'll check in the room. Any questions?
Kiara King: Kiara King from Absa Equity Research. Just a question on ammonia supply and security. Could you provide more color into how you're thinking about that moving forward?
Dean Murray: Stuart?
Stuart Miller: I'll take that one. I guess that does affect me. It's a primary feedstock. Look, we're seeing ammonia supply stabilize, but it's a risk. We're seriously evaluating how we expand our import capacity. We stood that up this year. So we imported almost 10% of our demand this year, and we're going to expand our ability to do so further into the future. So in the medium-term, based on our requirements, I'm not seeing a material risk. In fact, I'm feeling more comfortable that we can get our feedstocks, whether that be from domestic supply, which is always a preference. We want to support South African made products. We want to supply South African-made products. But we do have the capacity to supplement with imported products now.
Itumeleng Lepere: Okay. Thank you very much, Stuart. Just moving on to, again, Paul Carter and Adam, you said your comment has been noted on the disciplined capital management. Paul is asking spending capital on acquisitions and it was down the spine of many long-suffering shareholders. Can you state that this is indeed not top of the agenda as it appear much still needs to be done internally? Dean?
Dean Murray: Yes, we can. So I think first and foremost -- yes, we have a strong balance sheet. We're sitting on -- we are in a good position. But again, you're quite right. Any investment into acquisitions will be very closely scrutinized. We still believe a lot of our growth will come out of our expansion of mining into Africa and into Australasia, where we've got strong know-how, it's right in our sweet spot, and that's where our preference will be to put capital down first.
Itumeleng Lepere: Thank you very much for that, Dean. And Marang Morudu, I think Dean did talk to the point around TMO and EBITDA synergies. Then, yes, I don't have any more questions on the webcast. If anybody in the room has questions. Okay, not. Then that brings us to the close of our day. And please kindly join us outside if you're in the room, not the webcast for some refreshments. And again, thank you very much for joining us.
Dean Murray: Thank you, everyone.
Ian Kramer: Thank you.